Operator: Good day, and welcome to the Reliance Global Group's Fourth Quarter and 2024 Year-end Business Update Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Mr. Ted Ayvas of Crescendo Communications. Sir, you may begin.
Ted Ayvas: Thank you.  Good afternoon, and thank you for joining Reliance Global Group's 2024 Year-end Financial Results and Business Update Conference Call. On the call with us today are Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group; and Joel Markovits, Chief Financial Officer of Reliance. Earlier today, the company announced its operating results for the year ended December 31, 2024, and the press release is posted on the company's website, www.relianceglobalgroup.com. In addition, the company will be filing its annual report on Form 10-K with the U.S. Securities and Exchange Commission today, which can also be accessed on the company's website as well as the SEC's website at www.sec.gov. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at (212) 671-1020. Before Mr.  Beyman reviews the company's operating results for the year ended December 31, 2024, we would like to remind everyone that this conference call may contain forward-looking statements. All statements other than statements of historical facts contained in this conference call, including statements regarding our future results of operations and financial position, strategy and plans and our expectations for future operations are forward-looking statements. The words anticipate, estimate, expect, project, plan, seek, intend, believe, may, might, will, should, could, likely, continue, design and the negative of such terms and other words and terms of similar expressions are intended to identify forward-looking statements. These forward-looking statements are based largely on the company's current expectations and projections about future events and trends that it believes may affect its financial condition, results of operations, strategy, short-term and long-term business operations and objectives and financial needs. These forward-looking statements are subject to several risks, uncertainties and assumptions as described in the company's Form 10-K filed with the U.S. Securities and Exchange Commission on March 6, 2025. Because of these risks, uncertainties and assumptions, the forward-looking events and circumstances discussed in this conference call may not occur, and actual results could differ materially and adversely from those anticipated or implied in the forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. Although the company believes that the expectations reflected in the forward-looking statements are reasonable, it cannot guarantee future results, level of activity, performance or achievements. In addition, neither the company nor any other person assumes responsibility for the accuracy and completeness of any of these forward-looking statements. The company disclaims any duty to update any of these forward-looking statements. All forward-looking statements attributable to the company are expressly qualified in their entirety by these cautionary statements as well as others made on this conference call. You should evaluate all forward-looking statements made by the company in the context of these risks and uncertainties. Having said that, I would now like to turn the call over to Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group.  Ezra?
Ezra Beyman: Thanks, Ted.  Good afternoon, and thank you for everyone for joining us today. We are excited to share that 2024 has been a year of continued revenue growth and solid operational performance for Reliance. This transformative year was fueled by our disciplined fiscal management, strategic investments in technology and well-targeted acquisitions. OneFirm strategy played a crucial role by seamlessly integrating our agency operations into a unified tech-driven platform. This approach not only boosted efficiency and cut costs but also strengthened our net operating results. These efforts have greatly improved our profitability, and we believe positions us for long-term scalable growth in the ever-evolving insurtech landscape. In addition, we believe that the planned acquisition of Spetner Associates, which I am pleased to report is now in the final stages and expected to close in the near future and the ongoing expansion of RELI Exchange AI-powered Quote & Bind platform are set to create substantial value for both the company and its shareholders. Our Quote & Bind platform has transformed the insurance purchasing experience by enabling agents to generate competitive quotes and bind policies instantly. By harnessing the power of AI, automation and advanced data analytics, we are boosting efficiency, enhancing underwriting accuracy and providing exceptional service to our agents and their clients. We have made substantial enhancements to the RELI Exchange Quote & Bind platform, reinforcing our position as a leader in this insurtech space. Since its initial beta launch in September, the platform has rapidly expanded to feature a greater number of carriers and a wider selection of insurance products with even more upgrades on the horizon, designed to simplify workflows for agents and enables them to generate quotes and bind policies instantly, significantly boosting efficiency and speeding up the policy issuance process. Leveraging AI-driven automation, the platform enhances underwriting accuracy while providing access to top-tier carriers, which helps ensure competitive pricing and a diverse range of coverage options. At Reliance, we are committed to transforming the insurance industry through the strategic use of technology and automation. By continuously expanding our Quote & Bind platform, we are equipping agents with advanced tools to improve efficiency, close deals more quickly and drive profitability. This initiative is a key part of our strategy to establish RELI Exchange as the most competitive and insurance-friendly insurtech solution in the market. Looking ahead, we cannot be more excited about the future of Reliance Global Group. With our disciplined expansion strategy, cutting-edge technology and well-planned acquisitions, we are in a strong position to seize new opportunities in the rapidly evolving insurtech space. The expected completion of the Spetner acquisition and the ongoing enhancements to our Quote & Bind platform are just the start of what we believe will be a period of unprecedented growth. We are committed to innovation, operational excellence and delivering exceptional service to our agents and customers. By staying true to our vision, we are confident that we can build Reliance into a multibillion-dollar company, highly profitable, that creates sustainable long-term value for our shareholders. The momentum we have built in 2024 is just the beginning. We are truly excited about what's in store for 2025 and beyond. I would now like to turn the call over to Joel Markovits, our Chief Financial Officer of Reliance Global, to review the financial results for the year ended December 31, 2024.
Joel Markovits: Thank you, Ezra, and good afternoon. It's my pleasure to share some key financial highlights for the year ended December 31, 2024. All figures presented are approximates. As Ezra mentioned, 2024 has been another year of sustained revenue growth and solid operational performance. Year-over-year for the years ended December 31, 2024 and 2023, revenues increased by $0.3 million or 2% to $14.1 million compared to $13.7 million. This upward trend is attributed to sustained organic growth of our current in-place operations. Commission expense increased by $0.5 million or 12%, primarily driven by swings in the company's commission income revenue mix and organic revenue growth. Salaries and wages decreased by 4% or $0.2 million, demonstrating the company's ability to effectively and efficiently utilize its human capital and still continue to organically grow revenues and operations. General and administrative expense increased nominally by $0.1 million or 3%, driven in part by general inflation and acquisition-related costs, however, offset by onetime cost efficiency enhancements. Total operating expenses decreased by 21% or $5.9 million. This resulted in positive movement in our loss from operations, which improved by 45% or $6.2 million. Net loss decreased by $2.9 million or 24% to $9.1 million versus $12.1 million. This positive swing results from, amongst other things, lower intangible asset impairment charges and more importantly, the company successfully simplifying its balance sheet, decreasing or eliminating previous encumbrances resulting from certain fair value contingent and warrant liabilities where those positions were liquidated or substantially reduced during 2024, thus minimizing adverse impacts from fair value swings affecting the company's profitability. Turning to EBITDA, our adjusted EBITDA metric, a non-GAAP measure but key company performance indicator. EBITDA improved significantly during 2024 by 39% or $0.2 million from a loss from $0.5 million to a loss of $0.3 million brought about through the implementation of our OneFirm strategy, which drives disciplined fiscal management and exciting organic operational growth. The 39% EBITDA improvements demonstrate the company's continued trend towards sustained EBITDA profitability. Hopefully, these financial highlights were helpful. And to close out our formal remarks, I want to reiterate Ezra's comments that we're excited to be nearing a closing on the Spetner M&A deal. And we remain laser-focused on continuing to build a highly profitable business enterprise through expansion and innovation, strengthening our market share and providing substantial returns and long-lasting value to our shareholders. Let me now turn the call back over to the operator to open the lines for questions, comments or feedback.  Operator?
Operator: [Operator Instructions] We have a question from Nicole Kaufmann with BlackRidge Capital.
Unknown Analyst: So the Spetner acquisition seems to be on track, but can you provide any additional color or elaborate further on status?
Ezra Beyman: So we technically can't tell you that much about it. I could tell you, we're very excited. We're getting close. Some of the finishing touches are being done, whatever had to be done. And we're excited as ever because we're going to have great communication with Jonathan Spetner. The numbers that we're seeing it and our auditors are seeing it.  It's phenomenal.  The growth has been beautiful, and we're so excited about not only its business, how it meshes with our business, the cross-selling abilities, the recognition it gives us, the exposure to, as we said in our announcements, over 85,000 employees. We couldn't be more excited. It's really -- and it's really heading in the right direction. We look forward to soon making that beautiful announcement.
Operator: [Operator Instructions] As we have no further questions on the lines at this time, I would like to hand it back over to management for any closing remarks they may have.
Joel Markovits: Thank you. On behalf of Ezra and the entire Reliance team, thank you all for your participation in this business update. We are excited and energized about the company's future and are incredibly happy to be sharing this onward journey with you, our valued shareholders and other interested parties. Until next time, we wish you all the very best. Thank you.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time, and we thank you for your participation.